Logan Hennen - Northland Securities: Rudy Kessinger - D.A. Davidson
Operator: Greetings, and welcome to the Intellicheck Q3 2024 Earnings Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Gar Jackson, Investor Relations. Thank you. You may begin.
Gar Jackson: Thank you, operator. Good afternoon, and thank you for joining us today for the Intellicheck Third Quarter 2024 Earnings Call. Before we get started, I will take a few minutes to read the forward-looking statement. Certain statements in this conference call constitute -looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 as amended. When used in this conference call, words such as will, believe, expect, anticipate, encourage and similar expressions as they relate to the company and it's management as well as assumptions made by and information currently available to the company's management, identify forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Throughout this call, we may reference certain financial metrics that have been rounded for the ease of discussion. These forward-looking statements are based on management's current expectations and beliefs about future events. As of any projection or forecast, they are inherently susceptible to uncertainty and changes in circumstances, and the company undertakes no obligation to and expressly disclaims any obligation to update or alter its forward-looking statements, whether resulting from such changes, new information, subsequent events or otherwise. Additional information concerning forward-looking statements is contained under the headings of Safe Harbor Statement and Risk Factors listed from time to time in the company's filings with the Securities and Exchange Commission. Statements made on today's call are as of today, November 13, 2024. Management will use the financial term adjusted EBITDA in today's call. Please refer to the company's press release issued this afternoon for further definition, reconciliation and context for the use of this term. We will begin today's call with Bryan Lewis, Intellicheck's Chief Executive Officer; and then Adam Sragovicz; Intellicheck's Chief Financial Officer, who will discuss the Q3 2024 financial results. Following their prepared remarks, we will take questions from our analysts and institutional investors. Today's call will be limited to one hour, and I will now turn the call over to Bryan.
Bryan Lewis: Thanks, Gar, and good afternoon, and thanks for joining us today for our third quarter 2024 earnings call. Total revenues for the third quarter were $4.71 million, and SaaS revenues increased slightly totalling $4.66 million. Our gross margin remained strong at 91%, in line with last year's results. Of note, our new business continued to generate higher prices per transaction values. During the third quarter, our new business price per transaction increased 25% year-over-year and 8% sequentially when compared to the second quarter of this year. We believe this further reiterates our pricing power. On our last call, I began with an update on some recent organizational changes. I told you about Sandra Bauer is joining the team as Vice President of Customer Success and Account Management. I'm very pleased to say that she hit the ground running and has already made significant progress in a very short period of time. Sandra has evaluated our customer success program and has made changes to the organization that we believe will drive sales growth as we enter 2025. One of the big opportunities that she saw in an area that we have needed to capitalize on more effectively is driving more use cases for customer and increasing incremental revenue. Sandra has done a deep dive on the product pipeline, has been putting plans in motion that we expect will drive additional revenues with many of our customers. She is effectively aligned with the sales team, give a fresh look to our customer-facing marketing materials and is providing valuable input into these important areas. We see the customer success program as the key metric to our success. Organizational change is not a new topic on these calls. I have continued to underscore my commitment to organizational review with a focus on our needs and having the right people in the right positions to drive revenue growth. I will not be reticent in calling it as I see it and will not hesitate to continue to make changes if I did not see the progress I expect. My objective is to put the best people into operational roles that will position us to drive growth and product innovation. We are continuing to attend trade shows as we leverage opportunities to grow brand awareness of our distinctive hardware-agnostic state-of-the-art technology solution and our role as thought leaders in the identity theft and fraud space. At the Identity Week conference in September, I was pleased to participate in a panel discussion on fighting online fraud. It was great to have our presence with distinguished co-panellists that included Scotiabank's Vice President, Global Fraud Management and Capital One Senior Counsel for Enterprise Innovation. In addition, Chris Meyer, our VP of Sales, Chaired a roundtable discussion on fighting fraud. Chris was also active at the DDoS Insight Financial Crime Trade Show, where he led an intimate roundtable discussion from risk to reward, transforming fraud prevention into customer acquisition. Just a few weeks ago, we participated in Money 2020 for the second year. This conference is considered the world's leading premium content, sales and networking platform for the global money ecosystem. Money 2020 has a distinctive focus on what's next in the world of payments, fintech and financial services. This prestigious show allowed us another strong platform to increase brand awareness. We continue to evaluate our attendance at these shows with an eye towards return on investment and brand building as we also explore other opportunities that may serve us well. We believe that we have the most accurate and hardware free SaaS solution in the market today and that these trade shows should drive both market awareness and sales for Intellicheck. And one final note on marketing initiatives. Marketing continues to be a focus for us and is another area where we see additional opportunities to drive more interest in Intellicheck and our product offerings targeting multiple verticals. We are in the process of shifting a greater focus to developing support materials for the sales force based on what we have learned over the past 6 months. Turning now to sales. In this quarter, we reached an agreement with a retailer located throughout the Southeast region that serves as the umbrella corporation for 287 franchise locations of a well-known retail chain offering a variety of signature home furniture, decor and accessories. We also achieved an important milestone with a leading operator in the retail lease-to-own space. We are now live assuring the validity of high-risk applications. This adds to the growth we are seeing with this client, who continues to implement our technology in their brick-and-mortar locations. anticipate this partnership will generate annual revenues in the low 6 figures with their initial use case alone. While we continue to diversify and see substantial growth in our newer vertical markets, retail remains a large and important part of our mix. one of our prominent department stores that does their credit card processing through one of our leading bank clients is shifting part of their process to now run their transactions through the bank API. This is good news for us because the bank has a higher transaction value per scan. And as a result, we've seen an uptick in revenue generated from this retail customer. which leads me now to the banking vertical. We believe this move also further solidifies our relationship with this bank that does credit card transactions for multiple merchants as well as their retail locations. Additionally, this incremental revenue reinforces our pricing power as others with inferior products cut their rates in order to try and gain share and remain relevant, we continue to increase our per transaction pricing with little resistance. We anticipate that the revenue generated from this bank will have a material increase as we enter 2025. To give you a little history, this bank's transaction volume has increased far beyond what they originally projected, and they ran through their prepaid bucket much faster than anticipated. Right now, we're seeing 30% growth across their combined channels. And as a result, this banking client is reassessing their future transaction volume needs recognizing they sharply underestimated their usage. This happened faster than either of us anticipated, so we are currently building them in arrears for usage, and we are working towards a new 3-year annually prepaid commitment from them that we anticipate will be signed and paid for in the first quarter. Continuing with our efforts in the banking market vertical, one of our large regional banks have signed a new multiyear agreement, and they are now fully rolled out in live in 1,200 bank branches with plans to expand to a digital use case in the near future. We anticipate this being a mid-6-figure revenue-producing agreement annually over time. The powerhouse Southern regional bank with more than 2,700 branches we have previously partnered with is in the process of working with us towards finalizing a multiyear deal for their in-branch location rollout. This multiyear agreement stands to have significant implications. They are in the process of integrating Intellicheck's technology solution into their teller workstations and we believe it has the potential to become a multiyear 7-figure contract beginning in the middle of next year. I am pleased to share with you that we have continued our expansion into Canada during the third quarter, a small but growing Canadian online bank completed integration for digital online use cases. Canada has been a growing market for us, and we continue to believe that we will see additional opportunities to drive revenue there. Our real estate market vertical presence continues to see solid growth. On our last call, I shared with you news of Intellicheck's partnership with the nation's eighth largest title insurance Doma Title Insurance. You may recall that Doma Title has partnered with Intellicheck, providing its agent and attorney customers with access to Intellicheck's web-based solution that validates, analyze, matches and derisks the identification credentials of parties involved in real estate transactions is being offered a Doma agents who are signing documents as part of a Doma-insured transaction. Doma Title turned to us to address a rising trend that is costing title insurance companies and homeowners billions of dollars and losses each year. Seller impersonation fraud is a real estate scam in which a fraudster poses as a property owner to lease out without the true property owner's knowledge or involvement, residential or commercial property. As incredible as it sounds, it is happening with greater frequency, sophisticated fraudsters often use the property owners fraudulently use obtained social security and driver's license information in the transaction. In many cases, Fraudsters use e-mail and text messages to communicate with the title agent, allowing them to master true identities and commit prime from a remote location. Also called Seller ID fraud, the scam is most rampant in the high-volume states of California, Florida and Texas, but schemes have targeted property owners throughout the country from rural areas in the south to cities in the Midwest. A troubling statistic that demonstrates just how serious the problem is serves to underscore the financial impact. In 2023, 30% of all claims paid by Doma Title Insurance involved fraud and forgery. Early data from the first few months of 2024 is further evidence of the significance of this problem. In those first few months alone, seller and personation claims surpassed 2023 damages. I hope you had time to read the Doma Title Insurance press release that was issued in August because I believe you too will appreciate hearing about the consequential impact Intellicheck's technology solutions is having from one of Doma's Title agents. We believe this further sets the stage for additional growth in this area, and I am pleased to share with you the fact that we are seeing that already. And the other title insurance company that is capitalizing on the value of our technology is Westcor Land Title Insurance Company. Westcor is the number one independent title insurance underwriter in the nation. Their model is a bit different. They have launched val-ID by Westcor. It's an advanced ID verification tool designed to empower title agents in validating the identities of borrowers and sellers. They describe this new tool powered by our technology solution as delivering and I quote them here unparalleled access and speed in ID verification. The tool features of comprehensive dashboard that provides title agents with real-time tracking of ID verification status, enabling them to manage their workflow efficiently with validation methods that include state issued IDs, passports and support for foreign transactions. Val-ID provides multiple validation options, including mobile texting and live e-mail hyperlinks, ensuring flexibility and convenience in the verification process. This comprehensive approach to identity validation helps agents enhance their due diligence process, mitigate risk, prevent fraud, improve overall transaction integrity. We really appreciated a comment from Scott Chandler, Chief Operating Officer at [indiscernible] Square land Thailand insurance company. He said and again, I'm quoting here, "we are confident that this tool will be a game changer for our agents, allowing them to perform their duties with greater confidence and efficiency." We couldn't agree more. On our last call, I noted that we are seeing growth in our title business. And in addition, these clients highlights why we believe that trend will continue. In a related development, a wire transfer company that has just completed the integration of our technology solution and are now just starting to ramp up. This recent -- in its client's recent findings on the state of wire fraud, the data showed that one in 20 Americans bought or sold a home within the past three years has been victim of some type of real estate fraud, with a median amount in consumer losses exceeding $70,000 as a result of the stolen buyers down payment and the seller's net proceeds. The company's warn that fraudsters have become increasingly skilled at leveraging public records reaching broker entitled Agency systems, so they're able to effectively pretend to be somewhat involved in a transaction to steal from unsuspecting consumers. Although there are multiple warnings in place at all parts of the real estate wire transaction, consumers are still targeted through communications that convince them to send money to a fraudulent account or an entity that they believe to be true. Fraudsters posing as someone involved in the transaction being e-mail to scan victims that are their funds have seen dramatic growth. The latest data from the FBI shows that this type of prime will stay categorized under business e-mail compromise cost victims a record $446 million in real estate transactions during 2022. So now turning to our e-mail, social media accounts. In the domestic and international social media space, we do have an update. There's been a delay in that rollout, but not for reasons that should be of concern. In fact, we believe it's good news. This American multinational company operating as one of the largest social media platforms in the world that chose Intellicheck for ID validation, has been so impressed by our technology that it is working on a larger use case than originally anticipated. In our discussions, they have told us that their goal is to be live no later than early next year. This marks a second globally recognized social media platform that has implemented Intellicheck's technology and has been so impressed with it's performance that they are expanding its application. You may recall that the use case for the original social media company, we started working with a few years ago was for identity validation to prevent fraudulent account takeovers. In the stadium operations market vertical, we are looking at finalizing deals with 2 high-profile food and beverage concession operators that service multiple stadiums and arena venues. In addition, through these two operators, we are in the process of closing the agreement with a primary point-of-sale company for sporting venues that would incorporate the Intellicheck validation process directly into their point-of-sale system. What is important to note here is that these leading operators have more than one objective in mind. Of course, they're concerned about preventing underage access to alcohol through fake IDs. However, they have an equally important need to address over serving. If an individual is over served and leaves their premises drunk -- should they be an accident, engaged environment behavior or other activity that results in damage and loss, the liability for these operators stands to be monumental. Our technology solutions are able to track and serve per customer and allow the server to prevent over service. We are also continuing to build our position in the digital space. a software company that specializes in identity management is in the process of incorporating our technology solution in their platform. Programming is underway for this new client, which describes itself as an identity security platform behind over half of the Fortune 100, 13 of the 15 largest U.S. banks and seven of the nine largest global health care companies. We believe this agreement underscores the superiority of our technology solution. In the Automobile market, we are seeing solid growth in the vertical. Automotive is up 28% over Q3 2023, underscoring why we believe this is a great vertical for us to continue to pursue. On our last call, we introduced another new vertical in employment verification. Employment verification is a multifaceted market vertical where we are starting to see our expansion efforts pay off. In our previous call, we discussed the use case in the cargo transportation area, is a growing use case and one that we effectively tackled with a major consumer food company we had talked about. You may recall that in this use case, the company has been experienced fraud at all of its shipping distribution locations. Fraudsters would save identification documents or showing up at the warehouse posing as legitimate transportation personnel and are driving away with an 18-wheeler loaded with product. Losses have been dramatic for the company. In the latest development, our proof-of-concept pilot was so successful that this company is in the process of rolling out our technology solution to all of their fleet locations and they have introduced us to a large coffee retailer who is having similar problems in their distribution centers. It is important to understand how consequential the issue employment fraud is related to cargo transportation fraud. Recent study data shows that cargo freight theft has increased 430% year-over-year in Q3 of 2023. Further findings revealed that there were 38% more cargo thefts in the first quarter of 2024, compared to the same time frame last year. Nearly half of those incidents occurs in warehouses and distribution centers with an average loss of more than $210,000 per theft. While cargo thefts used to be largely centered around Southern California, the hotspots for truckload thefts have started to proliferate around the country. With the rollout of our solution to our locations underway, we look forward to sharing more news on this new partnership. In a related development, we expect to make an announcement shortly about our new partnership that is allowing a nationally recognized company to effectively validate job seekers, applicants, identity documents. This is another facet of the employment verification market vertical that we believe holds opportunities for further expansion. We believe that the channel program remains a great platform to propel volume with our partners. [San Andreas] is working closely with the team to drive revenues through this program. We anticipate that this program will be an important contributor to our revenue growth in 2025. You may recall that I shared a quick peek at our technological advances. We are now migrating clients to our new Intellicheck [firm], which allows our customers to access their transaction data and perform self-administrative tax. We believe that this is an extremely important enhancement for a number of reasons. First, it allows clients to be able to gain additional insight into transaction activity. It allows them to gain keen insight into how they can improve their own internal processes. In a lightning-fast digital world, this is a crucial need. At the same time, the clients realize important procedural gains, we benefit as well. Our support staff is freed from the time-consuming and costly administrative burdens, allowing them to provide more value-added service benefits. I'm pausing here to remind you that the hub reflects a critical facet of our client relations. It demonstrates the ongoing dialogue we have with our clients that we seek their input on their evolving needs and respond to them. This is a win-win situation. And product development is not a nice to have. It's a must as fraudsters continue to evolve their tactics to undermine identity verification solutions. So must we, and we are doing that with ongoing enhancements to our ID verification platform. We are moving forward with the enhancements we mentioned that are part of our strategic focus that include new machine learning and statistical calculations to foil the latest printed physical fake IDs and the onslaught of generative AI attacks. I am pleased to report that we're seeing the benefits from our new proprietary statistical models. And as previously discussed, we stand to deliver a significant impact on OCR match processing, while at the same time, it gives customers another feature enhancement for their own models. Another valuable step forward in product development from Intellicheck. With the enhancement to document liveness that is enabling physical ID documents we presented during an electronic validation process that uses the end user's phone, we like what we're seeing. We're seeing that the accuracy that we are known for in this enhancement that can affirm if documents presented in the electronic validation procedure are physical versus printed images or simulated by pointing the camera at another screen. Given the issues that are involved as fraudsters utilized generative AI, we cannot underscore enough with significance of being able to recognize any edits to the user's picture that appears on the front of the ID. It's a cat and mouse game and we remain diligent on staying one step ahead. We continue to invest in product and enhancements, understanding that it's critical to me in our position as an industry leader in identity verification. Over the course of the past two years, we have invested approximately $8.8 million on R&D related to product development. Additionally, we have invested approximately $2.2 million in the transition from Azure to AWS. This has been a capitalized expense with a big lift largely completed. As a reminder, we've utilized outside consultants to get the work done quickly and efficiently, and anticipate the cash outlay for the work is largely behind us. Our 90-plus percent gross margins position us well going forward and we anticipate generating cash next year, driven by accelerated top line sales growth. As you can see, we believe we are making substantial progress on a number of fronts. It is our sense that these developments were served to accelerate our revenue growth as we enter 2025. We I will now turn the call over to Adam.
Adam Sragovicz: Thank you, Bryan. I'm excited to be here at Intellicheck and to join such a dedicated and talented team under Bryan's leadership. As this is my first earnings call, I'm eager to share our progress and outlook for the future. Let's dive into the key points for this quarter. You have heard us in the past discuss our cloud migration from Azure to AWS. And as a result, we anticipate seeing less R&D spend in Q4 and going forward. We believe that this migration as well as other systems initiatives, such as how that Bryan just discussed, will improve customer satisfaction, retention and accelerate new customer onboarding. They should also provide customers with analytics that will help them monitor and improve their own businesses. We are proud that we have maintained our gross profit and gross margins, even while running a dual cloud infrastructure during this period of transition. We've also made a few targeted changes within Intellicheck's marketing channel sales and customer success teams, which should result in better operating efficiencies without increasing spending. Turning now to our third quarter results. Revenue for the third quarter of 2024, decreased 1% to $4,709,000 compared to $4,760,000 in the same period of 2023. Our SaaS revenue for the third quarter of 2024 increased 1% to $4,661,000 from $4,635,000 during the same period of 2023 and represented 99% of our third quarter revenue. Gross profit as a percentage of revenues was at the higher end of our expectations at 91% for both the third quarter of 2024 and the same period in 2023, and is reflective of the architecture efforts even though we incurred transitional overlap on cloud expenses. Our product team and temporary contractors have worked efficiently and they have been able to maintain recurring margins of over 90% through the architectural process. We antiipate that this project will conclude with the temporary contractors by the year end. That being said, we will continue to closely monitor our spending with the goal to maintain or improve upon these margin levels. Operating expenses, which consist of selling, general and administrative, marketing and research and development expenses decreased $32,000 or 1% to $5,195,000 for the third quarter of 2024 compared to $5,227,000 for the same period of 2023. The third quarter of 2024 and 2023 included $236,000 and $342,000, respectively, of noncash equity compensation expense and non-severance expense. Within the third quarter, we recognized $443,000 in software capitalization, tied to our re-architecture efforts. Our operating expenses as a percentage of revenues increased 51 basis points against the same period of 2023. Year-to-date, we have capitalized approximately $1.8 million for software development. Turning to net income and adjusted EBITDA. The company's net income was lower by $113,000 to a net loss of $837,000 for the third quarter of 2024 compared to a net loss of $724,000 for the same period of 2023. Net loss per diluted share for the third quarter of 2024 was $0.04 per diluted share compared to the same loss of $0.04 per diluted share for the same period of 2023. The weighted average diluted common shares were $19.5 million for the third quarter of 2024 compared to $19.3 million for the same period of 2023. Adjusted EBITDA, which is earnings before interest and other income, provision for income taxes, sales tax accruals, depreciation, amortization, stock-based compensation expense and certain nonrecurring charges improved by $103,000, resulting in a loss of $168,000 compared to a loss of $271,000 through the same period of 2023. Our balance sheet remains strong, and we finished the third quarter with $5.7 million in cash. We also continue to ensure we are properly managing our cash reserves, which generated $73,000 in interest income during the third quarter. Turning now to the progress on internal initiatives. And looking at our sales pipeline, I'm struck on nearly all of the significant opportunities are in the financial services, social media, hospitality and entertainment spaces. The long-term sales, marketing and product efforts of diversifying the company's revenue mix can be seen in the pipeline itself. It is a real testament to these efforts, that Intellicheck revenue is roughly flat, while retail saw the largest number of bankruptcies that scoped in 2022, an increase in bankruptcies of over 30% compared to 2023. Unfortunately, these bankruptcies included three of our customers. Customer experience has also been mentioned, the company has made recent investments and has already seen significant problems in a short period of time. We believe that the focus on marketing ROI the role of sales engineers and the realigning customer experience skill sets are all coming together to improve customer satisfaction and drive additional revenues. In consideration of our end of 2024 outlook, we expect to see continued gross margins of approximately 90% to 91%, while we improve our architecture and data intelligence capabilities. With the expected winding down of R&D contractors spend in Q4, we believe that we will continue to maintain strong gross profit and gross margin costs. This also means that we may see somewhat higher noncash depreciation costs going forward due to the amortization of these completed projects. In closing, I joined Intellicheck because I believe that Intelsat will soon see real benefits from it's architecture, sales and marketing efforts. The company has been successfully pivoting to financial services and other verticals to diversify its revenue streams. Although this process has long lead times, I believe that it can pay off meaningfully. I look forward to sharing the story of the fruits of these labors, and discussing our Q4 and full year 2024 results with all of you in March. I'll now turn the call over to the operator to take your questions.
Operator: [Operator Instructions] The first question is from Scott Buck from H.C. Wainwright. Please go ahead.
Scott Buck: Hi, good afternoon, guys. Thanks for taking my questions. Bryan, I guess the first one, I was curious, when do you start to anniversary some of those more difficult retail comps, trying to understand when we might see some better growth on the optic side.
Bryan Lewis: Scott, so happy to answer your question. Are you saying, when do we expect retail to come back or I'm not quite sure I understand.
Scott Buck: When do you anniversary when the softer trend started. So the year-over-year comparables start to look a little bit better because that weakness is already kind of baked in at that point?
Bryan Lewis: Yes. Look, I think the weakness I'm looking at the numbers, the weakness certainly didn't start in my mind until about halfway through last year. So that's why I'm looking at, I should say, actually, even in the third quarter, things have started been going down as soon as inflation went up. And if you're looking at now the amount of credit a lot of people are carrying, there's issues there. Even something came out today that retail hiring in October was the lowest it's been, and I think it was 10 years. So I think retail certainly is hurting. I'm hoping that as we see inflation dropping and other things happening that it comes back, I'm looking at it hopefully I look at it is if I'm flying to the West Coast, it takes longer because I'm going into the wind and flying to the East Coast because I'm going with the wind. So I'm looking at something a headwind that could become a tailwind. But what I'm happy to say is we look at the other verticals we're going into and even in some of the customers in those verticals haven't fully implemented and we know what they're going to do, I'm happy that well over a year ago, we decided to make sure that we were looking at other places that need to know that you are who you say you are.
Scott Buck: Yes. No, that makes sense. I appreciate that. And then the second thing, just curious on cash levels, where your kind of comfort is? And if you have some room, whether it makes sense to put a little more money into sales and marketing to try to drive that top line if the opportunities are there.
Bryan Lewis: So I'm still comfortable that we do not need to raise cash to run the business. And currently, what we're doing is assessing where did we spend money last year on marketing that we're not going to this year. Looking at ROI some of these conferences have become kind of ridiculously expensive. And if we're not seeing the ROI, we're not going back. How do we tighten up our messaging, how do we get out there and do things differently than we did. And certainly, reminding everybody that the partnerships that we have with them and the DMVs is what makes us unique. I was talking to a woman who runs partnerships for a company that does software for issuing credit. And explained to her what she -- to her what we do, she thought everybody was the same. And I've said this many times. One of the hardest things is getting people to realize, we don't template. We don't need that picture. And that picture doesn't work anymore because AI and machine learning has made it so the bad guys have really, really good faith. We've got something unique. And that's still what we're getting -- need to get across, and we will, that you need to talk to us because we do it different than everybody else who might have a much, much larger marketing budget.
Operator: The next question is from Mike Grondahl from Northland. Please go ahead.
Logan Hennen: Hey guys, this is Logan on for Mike. Could you provide some color around how retail volumes trend in 3Q? And then also what you guys are seeing in 4Q so far in terms of seasonality?
Bryan Lewis: Look, I haven't looked at yet seasonality because it really picks up really right about now. October is usually kind of like October. It really is what it is. But certainly, across department stores, apparel stores, jewelry stores, those types of things. We saw a double-digit decline in transaction volume there. which, again, I'm going to point to and say, I'm happy we decided to go get other markets that aren't tied to the economy.
Logan Hennen: Yes. So with those new ones, too, should we expect possible year-over-year growth in 4Q?
Bryan Lewis: Look, that's my hope. That's my anticipation. I think it depends on when some of these big guys that we've been working on go live. I still think there's going to be, in my mind, some seasonal growth because you always -- people will be shopping. There are some people that are earning, and there are some people that aren't. But hopefully, the goal is a few of the folks that we get live do help fuel growth.
Operator: The next question is from Rudy Kessinger from D.A. Davidson. Please go ahead.
Rudy Kessinger: Hey guys, thank you for taking my questions. I guess, first, I just want to clarify on the price per transaction. You set up 25% year-over-year, 8% quarter-over-quarter. You said on new business. So just to be clear, that wasn't a -- was that across the board for all scan volumes? Or that was pricing for scan volumes from new logos that you signed in Q3 versus Q2 and Q3 last year?
Bryan Lewis: Yes. Good question. We haven't had any of our largest clients, they're not up for renewal yet, right? It will be year-end and beginning of next year. One of the things I just wanted to make clear to everybody because I think there are some confusion that people thought our growth is being driven only by charging existing customers more, right? So that is new business versus new business. So comparing customers that were brand new to us a year ago versus customers that were brand new to us, Q3. And a customer is brand-new Q2 to brand new in Q3. Just to show that people are willing to pay for the accuracy that we bring to the table.
Rudy Kessinger: Okay. That's helpful. And I know you guys caught out several banks, social media, a few customers that have low, mid 6-figure revenue potential, it sounds like starting at some point next year. I guess just as you evaluate the pipeline today, what is the size of the pipe versus, I don't know, one, two, three quarters ago? And are there any other large needle-moving type of deals in there that could repel you back the year-over-year growth over the next one or two quarters?
Bryan Lewis: I'm much happier with the pipeline today than I was three quarters ago. We are certainly talking to and in proof of concept with some client prospects that I would consider to be needle moving. I just don't want to like -- I'm a more under promise and over deliver. I would rather that we get -- I'll talk to you all next call, and there's more substantive things to say about it that we certainly have people coming to us large clients in telling us what they have and what they're using, that templating system that just about everybody else on the planet tries to do to see if an ID is real, isn't working. And when we get to them and get them to understand, we are way different than what they're doing. They want to talk, and they want to get into a proof of concept. But the thing is with very large customers, sometimes it takes a while to get to the proof of concept and then to get through the security audit that they always put you through. So hopefully, more to talk about that on the next call.
Operator: This concludes the question-and-answer session. I would like to turn the floor back over to Bryan Lewis for closing comments.
Bryan Lewis: So thanks, everybody, for joining us. As we look back on this quarter, I believe we've made progress in a number of ways. The reality is that retail bankruptcies, consumer pullback on spending and certainly credit tightening reflects the state of the economy and has hurt part of our business, but we've stayed the course and implemented what I believe to be a successful strategic plan and that is getting into other markets. In the face of -- as I said earlier, double-digit drops in the retail sectors, we're flat to slightly growing. So those new verticals are paying off, right? And our strategic vision and pursuing new directions has allowed us to achieve growth and offset this economic weakness, right? We believe these new verticals will continue to show significant growth opportunities in 2025. So in closing, we remain committed to revenue growth and will continue to work in concert with the executive team and staff to achieve our revenue goals for our shareholders and stakeholders alike. Thank you all, and have a great evening.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.